Operator: Good day, everyone, and welcome to the OceanFirst Financial Corp earnings conference call. All participants will be in a listen-only mode. (Operator Instructions) After today’s presentation there will be an opportunity to ask questions. (Operator Instructions) Please also note that this event is being recorded. At this time, I’d like to turn the conference call over to Ms. Jill Hewitt. Ma’am please go ahead.
Jill Hewitt: Thank you, Jamie. Good morning and thank you all for joining us. I’m Jill Hewitt, Senior Vice President and Investor Relations Officer, and will begin this morning’s call with our forward-looking statement disclosure. On this call representatives of OceanFirst may make forward-looking statements with respect to its financial conditions, results of operations, business and prospects. These forward-looking statements are not guarantees of future performance and are subject to risks, uncertainties and other factors, some of which are beyond OceanFirst’s control, are difficult to predict and could cause actual results to differ materially from those expressed or forecasted in the forward-looking statements. OceanFirst undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. In our earnings release, we have included our Safe Harbor statement disclaimer. We will refer you to the statement in the earnings release and the statement is incorporated into this presentation. For a more complete discussion of certain risks and uncertainties affecting OceanFirst, please see the sections entitled Risk Factors and Management Discussion Analysis of Financial Condition and Results of Operations set forth in OceanFirst filings with the SEC. Thank you. And now, I will turn the call over to our host, Chief Executive Officer, John Garbarino; Chief Operating Officer, Christopher Maher; and Chief Financial Officer, Michael Fitzpatrick.
John Garbarino: Thank you, Jill, and good morning to all who have been able to join in on our second quarter 2014 earnings conference call today. We appreciate your interest in our performance and are pleased to be able to review these results with you this morning. You have all had the opportunity to review the earnings release from last evening, and following our usual practice, we will not be disrespectful of your time reciting a host of actual numbers from the release. Our introductory comments will merely help frame our opportunity to add some color to the results posted for the quarter before we take your questions. Following my brief comments, I’ll turn the call over to President, COO, Chris Maher, who will review the highlights from the quarter and give you the additional detail beyond what is printed in the release. Of course diluted earnings per share for the quarter were $0.30, up $0.02 from the linked quarter and a $0.01 ahead of the prior year quarter, as there were two relevantly minor extraordinary items that Chris will reference, which realistically offsets the quarter, reflects $0.30 of solid core earnings. The company’s 70th consecutive quarterly cash dividend was declared and maintained at $0.12 per share, representing a comfortable and sensible 40% payout ratio within the parameters of our capital management planning. As a further note on capital management, I will make the point upfront that although we have announced board authorization for a new share repurchase program after completing the previous programs during the second quarter, we do not see share repurchases as a key core strategy in future periods and will generally be opportunistic purchases of our shares in the current market, responding to any market imbalance in the supply and demand for our stock. We continue to take into careful consideration the incremental book value dilution associated with the retirement of shares, how it weighs against the accretive effect of our earnings per share and also factor in the expected earned back period on the book dilution. Our primary capital management objective remains balance sheet and revenue growth over time to better deploy the excess capital that we have built in recent years. I’ll now ask Chris to provide additional background of our quarters operating results and general outlook for the remainder of the year.
Chris Maher: Thank you, John. My comments this morning will add some color to the quarterly results. While our loan portfolio growth continues to be a highlight, I will leave commentary regarding loan originations and net portfolio growth to our Chief Lending Officer, Joe Lebel. Second quarter results marked a fourth consecutive quarter of double-digit commercial loan growth. And I thought it important to have Joe Lebel able to comment on our progress. In terms of operating results, I should start by noting there was a little noise in the quarter in terms of a one-time gain on security sales and one-time expenses related to a reduction in staff in our residential lending group. These items largely offset each other making core earnings essentially equivalent to reported earnings. Net interest margin remains stable, as commercial loan growth offset continuing margin pressure. Importantly, much of the reported loan growth occurred in late June and is not reflected in the second quarter income statement. The provision for loan losses, which was marginally higher than charge-offs, continues to reflect improving credit conditions, which is evidenced by a 10% decrease in non-performing loans and a substantial reduction in quarterly charge-offs. Non-interest income improved sharply as a result of a wholesale migration of retail checking accounts to a new fee structure. During the course of the second quarter, all retail checking accounts were migrated to the new structure, resulting in an increase in annualized bank fee income of $1.2 million, and the migration of $64 million from formerly interest-bearing checking accounts to non-interest bearing checking accounts. This effort addresses the rising cost of electronic delivery channels, allows our customers to make product and usage choices and results in an improved interest rate risk position. Another areas of non-interest income; residential mortgage gain on sale, while slightly better than the prior quarter continues to be weak. Wealth Management and Bankcard both improved versus the linked quarter. Regarding operating expenses, the reduction in residential lending origination staff resulted in a one-time severance expense of $196,000 for the quarter and will provide benefit in future periods. Additionally, marketing expenses have increased this year. The emphasis on checking account marketing to support the account restructure previously mentioned and to promote increased Bankcard activity. Marketing expenses are expected to moderate in the elevated levels in the first half of 2014. Deposit trends included a migration from government deposits to retail and business checking accounts. While government deposits are an efficient funding source in the current low rate environment, reducing reliance on the source of funding is an important aspect of interest rate risk management. In summary, we’re pleased with the progress of this quarter as the investment in growth initiatives has begun to demonstrate an ability to positively impact earnings. The most important pillar of our growth strategy is our commercial business. With that, I’ll hand it over to Joe Lebel, to provide some color regarding loan activity during the quarter and progress against our strategic objectives in this area. Joe?
Joe Lebel: Thank you, Chris. Loan originations increased 4% for the quarter, as we continue to experience strong commercial activity and residential construction lending. Overall, the loan portfolio grew $60.9 million or 3.9% for the quarter, driven primarily by commercial loans, which increased $35.3 million as well as a $20.4 million purchase of in-market jumbo residential mortgages. As previously noted, almost half of the growth was booked late in the quarter, and we will see the full benefit in our interest income beginning in the third quarter. The residential purchase, opportunistic in nature, allowed us to acquire season jumbo loans in our market had a net yield of 4%. As Chris mentioned, the pillar of our growth continues to be the commercial loaning division. Commercial loans grew 5.7% from last quarter, and represent a substantial increase from the 1.9% growth we experienced in the second quarter of 2013. Year-over-year, the commercial growth was $108 million with 19.8% annualized. This increase is attributed to our continued expansion of the commercial team which began in mid 2013. While much of our growth is classified as commercial real estate activity, we have seen noticeable gains in commercial construction lending and C&I relationships. Further, loans classified as commercial real estate include owner-occupied properties. Owner-occupied commercial real estate loans comprised 46% of our commercial real estate exposure. These relationships are underwritten on the financial standing of the business owner rather than the underlying leases in an investment real estate loan, and carries different risk profile. They are generally more profitable as they represent a relationship base client with a multitude of product needs, including deposits, cash management services and wealth. In effect, we believe they generally involve the security with CRE loan and frequently carry the benefits of C&I credit. As of quarter end, our investment CRE to risk-based capital ratio was 153%, still a modest exposure relative to capital. The commercial lending market remains very competitive. We’ve seen multiple banks bidding on few quality credits and find continued pressure on interest rates, loan structure and extended loan durations is our main challenges. While these challenges are significant, we are pleased with the performance of our seasoned commercial lenders and are optimistic moving forward. At this point, I’ll turn it back over to John for the Q&A portion of the call.
John Garbarino: Thank you, Joe and Chris. And Jamie, you can set up a Q&A queue if you would like.
Operator: Ladies and gentlemen, at this time we’ll begin the question-and-answer session. (Operator Instructions) Our first question comes from Frank Schiraldi from Sandler O’Neill. Please go ahead with your question.
Frank Schiraldi – Sandler O’Neill Partners: Good morning. Just a few questions on; first, just on the loan pipeline. Clearly just look at the commercial loan pipeline you guys gave in the release and it’s up significantly off of the last quarter, I think about 50% higher. Obviously that would imply that commercial loan growth could be stronger here than even it was in 2Q. Could you just maybe comment on that, and does that make sense implicitly?
Joe Lebel: Well Frank, we remain optimistic given the size of the pipeline and the activities we’re seeing from our lending staff and the feedback that we get that we’re headed in the direction that we anticipate.
Frank Schiraldi – Sandler O’Neill Partners: I mean there is no reason to assume that less will be closed from this pipeline than it was three months ago, right? I mean there is nothing sort of order different or bulky about that?
Joe Lebel: Nothing to assume from that. No, not at all.
Frank Schiraldi – Sandler O’Neill Partners: Okay. And then just want to add a question, just thinking about loan growth versus deposit growth. Obviously loan growth has been strong. It sounds like maybe deposit growth has been impacted a bit by a mix shift there. As that loan to deposit ratio has grown, what are the thoughts on the margin here, maybe that given the strong loan growth you have to get a bit more aggressive on bringing deposits in the door and that maybe a bit more impactful to the NIM than we’ve seen?
Chris Maher: Frank, it’s Chris. So thanks for the question. We certainly have our eye on that loan to deposit ratio, and I would kind of leave you with these thoughts. The first is that we’ve got a very strong core deposit franchise and we have – it’s been our posture not to compete very much on rates in market, but the markets that we have branches in today are very deep markets. And if we had the desire to price a little more competitively I think we could quickly raise a reasonable amount of deposits out of our existing branches. And that’s probably the primary place that we would look. And I don’t think there would be too much margin pressure on that, because we really aren’t priced rock-bottom now. So I think we could incrementally improve some of those deposits statistics without a whole lot of pricing. The second thing is we still have a tremendous amount of opportunities both in Ocean County but then particularly in Monmouth County where I would not be surprised as we continue to mature the loan growth process. We might look now to potentially opening additional facilities over time either in Ocean or Monmouth County. So I think our first move would be to use the rich deposit base that we already have branches in, but that said, we have our eye towards maybe some incremental expansion there.
Frank Schiraldi – Sandler O’Neill Partners: Okay. And then just finally in the same vein, on the margin. It would seem like there is still some pretty good room for a mix shift from securities and to the loan book, which will help support the NIM. Is that still the case going forward?
Chris Maher: Yes, Frank. It’s Chris again. I would say, absolutely, I think we still got the opportunity to pare back the securities portfolio. So in the near-term I think it’s still going to be a mix shift. Although, I wouldn’t be surprised that down the road we’re starting to get to the point where we might allow total assets to come up a little bit. So I think we still have little ways to go on the mix shift, but we’re starting to see that on the horizon there is that point where you might see total asset growth.
Frank Schiraldi – Sandler O’Neill Partners: And what might that point be in terms of, would it be sort of a bogey in terms of hitting securities to asset level, or is it not totally clear at this point given what interest rates could be, and then what the environment could be?
Chris Maher: I think it’s not all that clear. I think it’s the interest rates. I think it’s the environment. I think there is also – we’re looking closely at the new liquidity rules that don’t apply to us directly based on our size. Nevertheless they always give you some kind of benchmark to take a look at and say, what would it take to control the liquidity rules required of larger institution. So we’re looking to all that now. I don’t think that moment is on us today, but we’ve got our eye open to it and we’ll make that decision as time goes on. But you certainly won’t see it in the next couple of quarters. We still have a bunch of securities to choose from.
Frank Schiraldi – Sandler O’Neill Partners: Okay. All right, great. Thank you.
Operator: And our next question comes from Matthew Breese from Sterne, Agee. Please go ahead with your question.
Matthew Breese – Sterne, Agee & Leach: Good morning guys.
Chris Maher: Hi Matt.
Matthew Breese – Sterne, Agee & Leach: Just staying on the margins. Given your ability to continue the mix shift, do you feel like where we are at 3.35 for the margin. Is that sustainable over the next few quarters?
John Garbarino: Yes, we think so Matt. We continue to see it every quarter now for the last past several shift from investment which are yielding at about 1.7 into loans which are 4 plus. So that’s beneficial and we’ve been able to maintain deposit costs at fairly low levels. And the only item that might offset that is we’re extending home loan bank advances, so that’s got to put a little bit of pressure the other way, but we think we can overcome now with the loan growth.
Matthew Breese – Sterne, Agee & Leach: Okay. And then again on some of the deposit accounts changes you’ve made, that the help fee and service charging from this quarter, I guess my questions is two-fold. One, with those changes do you feel like there is the potential for some degradation of your core deposit franchise meaning folks change; and two, is there any sort of learning curve with the account changes that we’ll see some reduction in the level of surcharges from this quarter?
Chris Maher: I think those are great questions. To your first question about customer reactions in what risk does this pose to franchise. We went about this in a fairly conservative way, and the first step was we actually started marketing tail-end of the first quarter, beginning of the second quarter the new account structures. And I think in our previous release, we noted we opened about 1,100 new accounts of the new design structure. And that was our test to make sure that the markets were comfortable with that and the consumers felt good about going into those account structures. Following that, we did the notifications and transition throughout the second quarter. At this point, all of our customers, they received notices predominantly in April. And as the changes affected in May, they went through them. They have called us. We’ve adjusted their product types and got through the entire process during the quarter. Interestingly, while we did have some accounts closed as a result of the process, we continue to offer a free checking account. That free checking account goes squarely against some of the senior segments in our market, where they want to write checks, they want to get their statement. They are not interested in online bill pay and they are not interested in doing things like that. So we’re able to get them into the right product. And finally I’d add that we saw balanced shift where folks were happy to continue to bank with us, and just brought in a few extra dollars to raise our average account balance to meet the balance requirement. So I think we’re very comfortable that the adoption rate by the customers is complete, that it has been accepted by them. There was certainly a lot of conversations that had happen, probably thousands of them were customers. And there were put a handful of few dozen accounts that are no longer with us, but net at the end of the process, our retail checking balances were larger than they were at the beginning of the process. Secondly I would say is while retail is stable, our growth in commercial checking has been substantial as we add these C&I relationships and owner-occupied CRE. So I think the core deposit franchise, you’re not going to see any change other than it maybe some improvement over time.
John Garbarino: And Matt, let me just add one other thing too, strategically with regard to these retail checking accounts. I think the industry knows deep in their heart and some people may still be in denial that the idea of packaging free checking with every conceivable service under the stars is one that’s got a very short life ahead. And there is a lot of companies that are going to take these strategic moves that we did and we are happy to have executed them I think with a high degree of efficiency and happen to be behind us at this point.
Matthew Breese – Sterne, Agee & Leach: Okay. And then in regards to the overall level of service charging from this quarter, that bumped up quite a bit. As folks get used to the new account structures, do you think that number will diminish over time?
Chris Maher: There is always – Matt, it’s Chris. There is always a risk to be some diminishment, but I will tell you that we’re very sensitive to our reputation of brands in the market, so we were very accommodating with customers, people wound up because of an account type they were not happy with. We have refunded the fees in the second quarter. We’ve made sure they met to the account that they feel comfortable in long-term. So there is some risk, but I wouldn’t consider that to be material risk. I think that within the normal fluctuation that happens from quarter-to-quarter that the fee income number you saw in the second quarter is sustainable.
Matthew Breese – Sterne, Agee & Leach: Okay. And then my last question kind of a bigger picture one. In the wake of super storm Sandy, you all have boots right on the ground there. How is the local community doing, a lot of changes, a lot of insurance premium changes coming. How do you feel like your customer base is prepared for some of those changes?
Joe Lebel: Matt, it’s Joe Lebel. I’ll answer that for you. Quite frankly I think we see that the vast majority of the customer base is optimistic, especially in the last six months. They’ve been able to get their insurance proceeds and they are able to get their rebuilding approvals in many instances many of the municipalities have been quite accommodating in fast tracking some of these things. We’ve seen a significant increase in the residential and the commercial construction lending pipeline, which has been a positive.
Matthew Breese – Sterne, Agee & Leach: That’s all I had. Thank you very much.
Operator: (Operator Instructions) Our next question comes from Travis Lan from KBW. Please go ahead with your question.
Travis Lan – Keefe Bruyette & Woods: Thanks. Good morning guys.
Chris Maher: Good morning Travis.
Travis Lan – Keefe Bruyette & Woods: Most of my questions have been answered, but just on core operating expenses, which if you back out the severance, it was about $14.6 million in the quarter. That still seems a bit higher than what I think was expected. I know you get some benefit from the efficiencies in the mortgage business, but is that kind of $14.5 million, $14.6 million a good run rate going forward or good starting point for us?
Chris Maher: Hi Travis, it’s Chris. I think that’s a good starting point. I’d give you a little bit more color on that. During the quarter, we did add three back office hires to commercial lending to help support the improved volume, and so that’s not unexpected. And then we had a one-time event, but we also had some increases in equity expense for equity grants related to the hires we’ve made over the last years. So those equity grants were made in the second quarter, so they began to impact the run rate then. But in summary, I would say that if you use the second quarter number, that’s a reasonably good number to use going forward.
Travis Lan – Keefe Bruyette & Woods: Okay. And then just on the staffing issue. What’s the outlook for more commercial hires maybe on the loan production side? Are you guys fairly fully staffed, or do you think – are you willing to add more here?
Joe Lebel: Travis, Joe Lebel. We’re always looking in the marketplace for qualified staff. We have set ourselves with a fairly high standards, and we’re very happy with the group that we have, but if qualified folks come along we’d always consider adding.
Travis Lan – Keefe Bruyette & Woods: Got you. All right, then last – go ahead.
Chris Maher: I was just going to say – Travis, it’s Chris. The main point is that if we find the right people, we’re going to bring them on, but we’re not going to change an arbitrary number and say we got to make three hires by October 31. So the quality guys come whether it’s one or a team, we’re going to look closely doing that, but we feel comfortable getting the team and they can continue to produce at this level.
Travis Lan – Keefe Bruyette & Woods: Got it. All right. And then just the last one is just how you’re thinking about the reserve going forward. Obviously there was nice improvement in NPAs this quarter. Is the reserve sufficient where you guys can continue to grow into a little bit, or do you think you’re going to need to kind of begin providing more in excess of charge-offs there to kind of stabilize the reserve as a percentage of loans?
Chris Maher: Travis, it’s Chris. I would tell you, it’s a very dangerous place to start talking about future reserves. So I would just say this. I think that we’re encouraged by the improving credit quality, but we always look at the non-performing group, the vast majority of which date back to residential issues that came out of the crisis, and are still around. It’s just taking years and years for that stuff to clear. So I will tell you that in the non-performing group is related in vast majority to the crisis. There are not new credits coming into that. We look at resolutions, and we’re looking at different ways to resolve that, but I don’t feel there is a whole lot of pressure on the allowance at this point. I think the allowances – we feel very comfortable with it.
Travis Lan – Keefe Bruyette & Woods: Great. Thanks guys.
Operator: And our next question comes from Larry Seaman from Seaman & Associates. Please go ahead with your question.
Larry Seaman – Seaman & Associates: Yes, thank you.
John Garbarino: Good morning, Larry.
Larry Seaman – Seaman & Associates: Hello.
John Garbarino: Yes, good morning.
Larry Seaman – Seaman & Associates: Hi. How are you doing? Few people asked about the securities portfolio. And I just want to know what comprises your OCI, because it seems to be rather high for a securities portfolio of $32 million. What else is in that OCI?
Chris Maher: Well, the securities portfolio is $500 million. It’s held to maturity. If you consider that you have to look down at $478 million in held to maturity, and that was reclassified from available for sale about a year ago. And a year ago, there was an OCI. It was a comprehensive loss in that portfolio that got carried over to held to maturities. So you have to look at that bucket. And most of the decline in value is from corporate securities. It’s a $55 million of corporate securities floating rate, which are about $8 million below book value. So that’s most of the decline.
Larry Seaman – Seaman & Associates: Okay. Thank you.
Operator: (Operator Instructions) And at this time, I am showing no additional questions. I would like to turn the conference call back over to Mr. Garbarino for any closing remarks.
John Garbarino: Thanks Jamie. I’ll just close by saying that we would like to thank everyone once again for joining us this morning, and we certainly look forward to the opportunity of speaking with you again in the months ahead.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending today’s presentation. You may now disconnect your telephone lines.